Operator: Welcome to today’s Casella Waste Systems Inc. second quarter 2010 earnings conference call. Today’s call is being recorded. At this time I would like to turn the conference over to Mr. Joe Fusco. Please go ahead, sir.
Joseph Fusco: Thank you for joining us this morning and welcome. With us today are John Casella, Chairman and Chief Executive Officer of Casella Waste Systems; Paul Larkin, our President and Chief Operating Officer; James Bohlig, our Chief Development Officer and Paul Massaro, our Principal Accounting Officer. Today we will be discussing our fiscal year 2010 second quarter results. These results were released yesterday afternoon. Along with a brief review of these results and an update on the company’s activities and business environment, we will be answering your questions as well. But first as you know I must remind everyone that various remarks that we may make about the company’s future expectations, plans and prospects constitute forward-looking statements for the purposes of the SEC’s Safe Harbor provisions. Actual results may differ materially from those indicated by those forward-looking statements as a result of various important factors, including those discussed in our prospectus and other SEC filings. In addition, any forward-looking statements represent our views only as of today and should not be relied upon as representing our views as of any subsequent date. While we may elect to update forward-looking statements at some point in the future, we specifically disclaim any obligation to do so, even if our estimates change and therefore you should not rely on those forward-looking statements as representing our views as of any date subsequent to today. Also during this call we will be referring to non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with generally accepted accounting principles. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures is available in the “financial tables” section of our earnings release which was distributed yesterday afternoon and is available in the Investors section of our website at casella.com. Now I will turn it over to John Casella who will begin today’s discussion. John?
John Casella: Thanks, Joe. Good morning and welcome everyone to our fiscal year 2010 second quarter conference call. I will start with a brief strategic summary. Paul Massaro will take us through the numbers and Paul Larkin will run through an operating summary. As usual Jim will give a development update. Before I get started I would like to give a brief update on the CFO search. We did engage Spencer Stewart to help us with the search. They have sourced a number of interesting candidates. The senior management team and several board members have met with several of the candidates. We continue to interview candidates into the third quarter. A brief overview in terms of the business, the business continued to perform well through the economic downturn with stable cash flows and improving adjusted EBITDA margins. Successful pricing initiatives, operating efficiency programs and moderately strengthening recycling commodity prices are helping to offset volume weakness due to the protracted downturn and the reality of the economic activity, or lack thereof, what we have seen over the last year. Tracking well against fiscal year 2010 guidance ranges with landfill gas-to-energy roll of revenues weaker and recycling revenues stronger. We experienced our normal sequential seasonal revenue growth from the fourth quarter to the first quarter and into the second quarter for landfill volumes and roll off pulls albeit at a lower starting base. During the third quarter we will anniversary through the tough year-over-year comps for recycling revenues and we expect to anniversary the higher year-over-year volume comps for the solid waste group in the fourth quarter. Also we believe we have seen very positive results turn a corner perhaps in November with initial billings up year-over-year. For the first time in 12 months landfill volumes and recycling prices were positive. Our adjusted EBITDA for the quarter was $34.7 million, down from the same quarter last year but again tracking well against the guidance that we had laid out in June. As projected, weakness in landfill volumes, commodity price revenues made up a large part of the year-over-year decline of adjusted EBITDA. However, even with the year-over-year declines in adjusted EBITDA we still improved margins by 170 basis points for the quarter, a clear indication of the work that Paul is doing and the entire operating team from a solid waste standpoint as well as Sean and the recycling team to improve operating efficiencies, increase pricing to help offset the continued weakness in economically sensitive part of the business. Adjusted EBITDA margin gains were stronger in the solid waste group with adjusted EBITDA margin of 29.7%, up 240 basis points year-over-year. We continue to make progress towards our goal to improve free cash flow. Our free cash flow in the quarter was slightly negative but still up $3.7 million from the same quarter last year. This was in fact our first full quarter of the increased interest cost incurred as part of the July 2009 refinancing we completed. Free cash flow of $3.6 million year-to-date is also tracking well against our previously announced guidance range. With our next significant debt maturity in December 2012, we have the capital structure in place that allows us to execute our intermediate strategy to reduce debt leverage and increase shareholder returns. As we laid out last quarter we targeted leverage of 3.5 times debt to EBITDA over the next three years to better position ourselves for our next major debt refinancing. To achieve our goal to reduce leverage and increase returns we are focused on the following: Driving profitable revenue growth, increasing pricing where supported by the market, executing cost controls and operating efficiency programs, divesting of non-core assets and selectively investing in resource renewal solutions. In the near-term our biggest opportunity to pay down debt and reduce our leverage is to sell non-strategic, non-contributing assets. During the second quarter our operating and finance teams completed a bottom-up strategic review. The focus of this multi-year review was to formulate an operating plan for each of our assets, understand growth opportunities in each market and assess opportunity costs of our capital by market. Looking forward we plan to focus investment in assets that produce positive free cash flow and support our strategy to improve asset integration and utilization. As a result of this review we have identified several baskets of assets that we will work to divest over the next two years. The proceeds of these divestitures will be used to repay long-term borrowings. As previously discussed we are working towards the sale of Maine Energy which is a $50 million transaction. However, as we have indicated it is highly dependent upon public sector execution although Jim will give some details on that and it certainly is moving in a positive direction but it is certainly difficult to determine from an execution standpoint. The first basket of assets contains several hauling companies, transfer stations and limit of our investments in unconsolidated entities. We believe the sale of these assets will yield over $25 million of total proceeds and we have targeted to have these assets sold within 6-12 months. We have also identified a second basket of assets which we believe will yield $50 million of total proceeds with the sale of additional non-core assets. I am not really prepared to discuss the specifics of those assets but we will update you as we make progress on the execution of the first basket of $25 million. As we execute against our de-levering plan by selling non-core assets and improving operating performance we believe that our equity will positively react and at the appropriate time we will consider issuing equity as part of our strategy to refinance the 2013 senior subordinated notes and to fund future growth. With that I will turn it over to Paul to take us through the numbers.
Paul Massaro : Thank you John. Good morning. Turning to the results for the quarter the company reported revenues of $133.7 million, a decrease of $23.8 million or 15.1% from $157.5 million for the same quarter last year. As a percentage of total solid waste revenue, solid waste revenues decreased 13.7% with lower collection, disposal, processing and recycling volumes accounting for 9.5% of the decrease, 2.7% of the decrease from lower fuel recovery surcharges and 3% from lower commodity prices and volumes. These decreases were partially offset by the positive effect of price increases of 1.5% primarily from our collection operations. As a percentage of total FCR recycling revenues, FCR revenues decreased 28.3% with 22.1% coming from lower commodity prices and 6.2% from lower volumes in the quarter. Paul Larkin, our President, will provide more color on revenue and speak to the price and volumes in each of the lines of businesses. Moving to cost of operations, cost of operations decreased $17 million or 16.4% with $86.7 million in the second quarter from $103.7 million in the quarter a year ago and decreased as a percentage of revenue between periods to 64.8% from 65.8%. The dollar decrease in cost of operations is primarily due to a decrease in the cost to purchase materials associated with lower FCR recycling as well as lower fuel costs and direct labor costs in the solid waste segment. General and administration expenses decreased $3.5 million or 19.1% to $14.8 million in the quarter from $18.3 million in the quarter a year ago. The decrease in general and administration expenses is primarily from reduced salary and incentive compensation costs, lower travel expenses and lower consulting expense. General and administration expenses as a percentage of revenues decreased to 11.1% in the quarter from 11.6% for the same quarter last year. Depreciation and amortization expense decreased $1.2 million or 6.2% to $18.3 million in the quarter from $19.5 million in the prior-year quarter. Compared to the prior year period higher landfill amortization expenses at the Pinetree landfill due primarily higher volumes were more than offset by lower amortization associated with lower volumes at other landfill sites. Net interest expense increased $4.7 million or 45.6% to $15 million in the quarter from $10.3 million in the quarter a year ago. This increase is primarily attributable to higher average interest rates associated with the company’s new capital structure which was put in place in July of this year. Net interest expense as a percentage of revenue increased to 11.2% in the quarter from 6.5% in the same quarter last year. Availability on the revolver at quarter end was $92.3 million taking into account $50 million of LCs outstanding. Moving to EBITDA, adjusted EBITDA was $34.7 million, a decline of $3.4 million compared to the same quarter last year. The adjusted EBITDA breakdown for the quarter by business segment is as follows: Solid waste $30 million from $31.8 million a year ago or a $1.8 million decline; FCR $4.7 million from $6.3 million a year ago or a decline of $1.6 million. Adjusted EBITDA margins improved from 24.2% to 25.9% primarily from the solid waste operations. Our tax expense for the quarter was $565,000. We previously provided guidance of $3-5 million of tax expense for the year and as previously stated we expect the results to come in at the high end of that range. The company’s net loss for the quarter was $1.6 million or $0.06 per share compared to a profit of $2.1 million or $0.08 per share in the same quarter last year. Our average interest rate for the quarter was 10.2% including amortization of finance costs. Net of these expenses it was 9.3%. Year-over-year free cash flow improved $3.7 million to negative $1.5 million compared to negative $5.2 million in the prior year. Our cash flow from operations for the quarter was $15.9 million compared to $19.4 million last year for the same quarter. Our capital expenditures were $14.2 million this quarter with no more assets acquired under financing leases compared to $15.8 million in capital expenditures with an additional $7.5 million of financing leases last year. With that I would like to pass the call over to Paul Larkin for some comments on the operating performance of the company.
Paul Larkin : Thanks Paul. Good morning. As mentioned, total company revenue declined 15.1% with solid waste revenues declining 13.4% year-over-year. 2.7% of the solid waste revenue decline was a result of a reduction in our fuel and oil recovery fees. Solid waste price increased 1.5% year-over-year and now has improved for six consecutive quarters. We continue to make great progress within our collection divisions with price increasing 4.3% which has been offset by a landfill pricing decline of 3.4%. The landfill price decline was mainly driven by continued regional weakness in C&D and BUD material specifically in our New York market and a new municipal contract at Ontario County. In the last month, however, we have seen an increase in both C&D volume and price into our New York landfills and all indications are that this volume will continue. Solid waste volume was down 9.5% year-over-year with a decline across all lines of business. Lower collection volumes were primarily driven by continued weakness in roll off with pulls down 14.3% year-over-year evenly distributed across all markets. Roll off pulls continued to follow normal seasonal trends with slight decreases from the first quarter. Landfill tonnage was down 13.6% year-over-year with MSW volumes up 3% and C&D and BUD material both declining. Our normal sequential seasonal trend remained intact in the second quarter. FCRs revenue declined 28.3% year-over-year driven mainly by declines in commodity pricing. Cost of operations for the second quarter was $86.7 million or 64.8% of revenue, a decrease of 100 basis points as a percent of revenue from last year. Solid waste operating margins improved 90 basis points as a percent of third-party revenue while FCR operating margins improved 250 basis points mainly due to declines in purchased material partially offset by lower operating leverage. We have expanded our major accounts business line which has high free cash flow but lower margins than the integrated solid waste business. Quarter-over-quarter revenues increased 10.1% and adjusted EBITDA margins increased by 236 basis points. Although accretive to our top line results, margins were compressed by 40 basis points overall. In addition, with lower revenues year-over-year we lost 50 basis points of operating leverage in a number of fixed categories. The net impact of our fuel and oil recovery fee positively impacted solid waste margin by approximately 40 basis points in the second quarter. Solid waste operating margins benefited again this quarter by our continued focus on flexing labor to volume while also delivering more permanent labor efficiencies. Solid waste direct costs were down 160 basis points as a percent of revenue with higher third-party disposal costs offset by lower purchase materials. Solid waste direct labor costs were up slightly as a percent of revenue while costs were down $1.4 million and solid waste maintenance costs were down 10 basis points as a percent of revenues while costs were down $1.1 million as a result of the continued reduction in our routed fleet. Solid waste SG&A also declined as previously mentioned. We are very pleased with the continued success of our fleet routing program and we are on target to meet our expected annualized cost savings for the full year. We have also completed our front-load conversions and our productivity results have exceeded our expectations. Lastly, as reported last quarter we are in the process of significant upgrades to our customer care network. We have completed all of our hardware, software and fiber upgrades to support Cisco’s Call Center solution and we have transitioned our first divisions into the network. We are very pleased with the results thus far and we expect this consolidation to significantly improve our customer experience, drive revenue growth while also reducing our SG&A expenses over time. We expect to consolidate all customer service into Rutland over the next 12 months. In summary, we are pleased with our execution against our sales and operating objectives and we are excited about the potential we see in the rollout of our customer care network and the continued opportunity to drive improvement within our fleet routing and core businesses. Jim?
James Bohlig : Thank you Paul and good morning. Two material development projects that I will speak to. One is Southbridge Recycling and Disposal development and second, as John indicated, is the Maine Energy bid for [stock hold] task force transformation project. First, as I think we have discussed many times, the Southbridge, Massachusetts Recycling and Disposal development project is an important project for the company. A year ago we received full Board of Health determination approving the landfill expansion to 405,000 tons. That determination was appealed with proper authority of the Board of Health and we expect that appeal should be heard and a decision made within the next 2-3 months. The issue that was appealed was the issue of proper authority of the Board of Health and I might remark that Board of Health has been operating under that structure since 2005 and so we believe naturally the appeal has little or no merit. We will obviously wait for the results of the court. Upon favorable determination which we expect in the first quarter of calendar year 2010 the [Mass DEP] will process our MSW application. We expect that application to be approved in March of 2010 and by the beginning of our fiscal year 2011 which is May to begin having an impact and be progressing to the 405,000 tons which will take approximately 2-3 years. We expect meaningful impact during Q4 2011 and that will be reflected in our guidance for next year. With regards to Maine Energy, the cities of Biddeford and Saco along with agents of Governor Baldacci from the state of Maine and the legislature has been working through an appointed task force to transform the Maine Energy facility into a renewable energy demonstration project which is to be aligned to meet the funding opportunity announcements of the Department of Energy Efficiency Community Block Grants. There are six elements to the program; weatherization, electric thermal storage, community power supply, compound CHP renewable mill redevelopment and repositioning the facility as a Class I renewable energy eligible facility including the development of a multi-material processing platform for dense fiber renewable fuel. This is a transformative project and enjoys broad regional, State of Maine and national interest. We think the project is particularly important to us as it not only deals with an issue we have had with the project and the community in a very positive way but more importantly the project is developed around a resource optimization principle and results. We think it would be a very important demonstration project for both the company strategy as well as the local community. The project includes a right to Biddeford, Saco and the state to purchase the facility but as John indicated that is always a very problematic issue as the states have to shift through their priorities and decision making with regard to [inaudible]. Moving onto FCR, while FCR’s commodity prices were lower year-over-year prices have rebounded from January lows with sequential strengthening from Q1FY10 to Q2FY10 driven by firming export markets in spite of very weak domestic demand. On a Q2FY10 to Q2FY09 basis, gross commodity prices decreased close to 41%. However, the net revenue per ton only decreased by 8.9%. This is a very good illumination of the effectiveness of our risk mitigation strategy and I will talk a little bit more about that in a second. Adjusted EBITDA for FCR was up by 17% or $7.7 million for the quarter and from Q1FY10 to Q2FY10 net revenue per ton for commodities were as follows: HDPE natural is up 8.5%, HDPE pigment is up 18%, ferrous is up 59%, OCC is up 13% and ONP is up 6.8%. Net revenue associated with PET is down 8.8% and aluminum is also down as well 17.7%. If you look at net revenue for 2010 compared to our plan it is up 3.7% while gross net revenue per ton is up 9% reflecting the recent moves in the market and the effectiveness of our risk mitigation strategy as well. The strategy continues to work well for the company dampening the volatility of commodity pricing and helping us to maintain stable EBITDA. We laid out last quarter it is important to look at the recycling business from a perspective of net revenues which is defined as commodity revenues less revenue shares plus tipping fees plus hedging revenues net purchase materials. As an example, commodity revenues were down nearly $16 million in Q2FY10 on a year-over-year basis while net revenues were down only $3.4 million and adjusted EBITDA was down only $1.6 million over the same period. That shows the strength and power of this strategy. Lower revenue shares, higher tipping fees, higher hedging revenue and lower purchased material costs offset the majority of the commodity price declines otherwise in the last 12 months. In spite of a deep economic correction in not only commodity pricing but economic activity in all markets, FCR’s volumes are down only 6.2% on a year-over-year basis and we continue to expect flat to rising volume as the economy recovers, communities convert to single-stream recycling and the external market searches for increased diversion opportunities for the waste stream into recovery [fillable]. On the development front for FCR we have been very active on the Zero-Sort recycling conversion. We are seeing substantial market single stream growth in Boston, Philadelphia and Camden where we recently completed single-stream conversion. We recently renewed our contract with Mecklenburg County for 10 years and that facility with Mecklenburg County funding will undergo conversion to single-stream starting in early 2010 and underway to be completed by June of 2010. We also renewed our contract in West Palm Beach for four years and we have just completed a newly constructed West Palm Beach Zero-Sort recycling facility and that is in the final stages of its shake down and placement into operation. We have expanded our Stratford County agreement. We have selected a vendor in Fort Myers, Florida for the Zero-Sort recycling conversion and Casella was recently selected in Concord, New Hampshire as the operator of a new, Zero-Sort recycling facility for the North Country of New Hampshire. We expect construction to begin within the next 6-9 months. Moving on to US GreenFiber. The management team at GreenFiber has done an excellent job managing this business during a protracted downturn in housing despite GreenFiber revenues being down $6.6 million or about 19% on a year-over-year basis. EBITDA was up $1.7 million or 190%. GreenFiber has experienced volume declines in all lines of its business in line with industry trends. However, GreenFiber has been successful in raising prices across its business and net price per bag up 3% on a year-over-year basis. GreenFiber was able to increase EBITDA through continued efforts to flex manufacturing costs down to revenues with reductions of SG&A costs also down as well 16% on a year-over-year basis. GreenFiber’s EBITDA on a trailing 12 month basis was $9.2 million and for the calendar year 2009 we expect it to come in a range of $9.8 million to $10 million. GreenFiber is running at roughly 30% manufacturing capacity with new home construction at 529,000 starts but we believe it is positioned well for a housing market correction when it does come and to its more normally adjusted rate of 1.4 million annually. Looking forward over the next 24 months, GreenFiber expects to benefit from both the projected increases in new housing starts and the $5 billion federal stimulus money targeted and distributed to state weatherization assistance projects. Insulation projects have been prioritized as number two on a list of qualified projects and GreenFiber product is ideal and is identified as a key support product for retrofitting existing homes. US GreenFiber also launched an Australian product partnership which will go for retrofitting homes in Australian via a partnership with the Canadian partner who is doing the work and this should allow $3-5 million of incremental sales over the next 12-18 months, $500,000 occurring in the last two months of this year. With that I will turn it over to John for his closing remarks.
John Casella : Actually we will open it up to questions, Operator.
Operator: (Operator Instructions) The first question comes from the line of Corey Greendale – First Analysis Corp.
Corey Greendale – First Analysis Corp. : Did I hear correctly you said revenue was up year-over-year in the month of November?
John Casella : That is correct. The first month in 12-14 months the revenues were actually up. The month of November is in fact the first month where we have seen revenues up on a year-over-year basis.
Corey Greendale – First Analysis Corp. : Was there anything unusual about that which would lead you to think you wouldn’t now see revenue up year-over-year in each quarter going forward?
John Casella : It is obviously hard to predict but I think we see some new streams, additional customers coming into the landfills that we believe are going to continue out into the future. So I think that notwithstanding something from an economic perspective that we can’t see at this point in time, certainly with the additional customers that we have it looks as though we are going to see those out into the future so it certainly seems like we have seen it bottom and are beginning to move in a different direction.
Corey Greendale – First Analysis Corp. : On the pricing front, it sounds like I think there was some positive commentary about landfill pricing in the New York market so with that in mind do you think that in the solid waste business price could be more positive in Q3 than it was in Q2? Can you also talk about your thoughts on pricing going into calendar 2010 given very low CPI?
John Casella : I think it is fair to say we have seen positive activity in November for sure, particularly in New York. So I think some of the market dynamics, the changes in the market, are positive in terms of outlook but it is still probably too early to tell in terms of where we are from an economic reality perspective. It certainly seems like we are bouncing around the bottom. If we have any economic activity at all it should bode well for pricing as we go into the next year. Certainly some of the dynamics in the marketplace are positive dynamics I think from an overall pricing perspective as well.
Corey Greendale – First Analysis Corp. : Is it fair to say your goal would be to keep price growth at least consistent with where it is right now?
John Casella : Yes.
Corey Greendale – First Analysis Corp. : I know there is only so much you can or are going to say about the divestitures you are talking about but the current basket of assets is it fair to assume it would be net/net after you pay down the debt free cash flow accretive? Is there anything you can say about the revenue associated with the assets and if the bottom line impact would be accretive?
John Casella : It is fair to say obviously the first basket is going to be very accretive. It would be those assets that really are not contributing at a level that we should continue to invest in. It could be in someone else’s hands they could create more value than what we are creating with those assets. That is absolutely the case. The first basket of assets will be the most accretive.
Corey Greendale – First Analysis Corp. : Is there anything you could say about the revenue associated with that basket?
John Casella : No, not really.
Operator: The next question comes from the line of William Fisher – Raymond James.
William Fisher – Raymond James: Following up on the question on November, were the sequential trends a little better in October? Was there anything different on a seasonal basis? Obviously year-over-year you had easier comps but I am just wondering how the trends were there.
John Casella : We really haven’t looked at the sequential numbers to really take them apart. One of the things we are looking at right now, I think sequentially it is probably a bit positive. We are in a process of going through and taking a look at that right now to really understand because we normally have a seasonal downturn from October to November. We are going through trying to evaluate that right now in terms of what that normal seasonal downturn is against what we have performed from October to November. So we are really looking at that right now but I think it was net/net positive from a sequential basis as well. We will have more specifics on that and certainly can give you the specifics as soon as we have had a chance to really look at it but it does look as though sequentially it was favorable as well.
William Fisher – Raymond James: Jim, you mentioned a number of the Zero-Sort projects coming online over the next year or so. I think if I am not mistaken you are doing like 250,000 or so tons recycling right now for FCR. If you look out 12 months, the economy is stable and whatever, how much tonnage could you add from all those different projects you mentioned?
James Bohlig : Well, the good news is in every one of those markets we have processing capacity that can be utilized. The second answer to that is in every one of those markets we are seeing the community or the individual awareness of the power of single-stream with Zero-Sort recycling in terms of its convenience. So you are seeing a natural growth that is coming from the dual-stream programs with their own kind of inefficiencies to a more efficient system under the single-stream banner. That in itself generally in those markets where those programs have been deployed have resulted in about a 35% increase in volume of material from the peak to the valley or the valley to the peak and we expect that to be kind of how it will work. The contra varying movement against that is that every community is very cost conscious and budget conscious these days. Many of them are suffering obviously tax deteriorations so new programs are challenged and a large measure of these programs rest upon these communities being willing to go ahead. Fortunately the Federal Government is very strongly trying to stimulate recycling and recovery, very strongly stimulating and looking to find ways to stimulate both from a regulatory and in the senate programs. We expect to see more communities awakening and acting against these things. Recently in the last month we have seen three large communities come out with RFPs asking not only for single-stream but much higher waste conversion processing capabilities which we think is indicative of the right strategy that we are in. So we do think it is a good place to have a product line. We think it is a core piece of our strategy. We have the core competence in that area and we expect to be able to see continued growth in that as both the economy recovers folks feel more comfortable to deploy technologies associated with waste diversions.
William Fisher – Raymond James: To follow-up on that, if you maybe slice it another way, all the contracts you mentioned that the investments are existing, if you added those all up would they be maybe 30% of the production you are doing today? Those locations?
James Bohlig : We obviously have that number. I don’t want to guess off the top of my head. I would be glad to call and give it to you. Let’s assume hypothetical it was 25%.
John Casella : I think it is fair to say what we are trying to do with the resource optimization strategy and with regard to the recycling infrastructure is to better utilize the capacity of those facilities on a 20-hour, two shift day and we do have that capacity. So as we are able to attract more volumes to those existing facilities we will obviously be able to bring up the return on the invested capital of those facilities.
Operator: The next question comes from the line of Jonathan Ellis - BAS-ML.
Jonathan Ellis - BAS-ML: I wanted to first ask about the landfill pricing. You mentioned it was down 3.4%. Is there any way to break out what the impact was from the new municipal contract as well as the mix of C&D and BUD?
Paul Larkin : That contract actually started late in the quarter so the impact I don’t think we have right in front of us. The impact probably for the quarter wasn’t that significant. What is more significant is we made a decision instead of holding off the market in terms of price we actually with that one followed the market for price to get those tons into our facility. So the impact for the quarter we are calling it out as it is going to impact us going forward and it is a contributor albeit small to the 3.4.
John Casella : The majority that would have been C&D and BUD tonnage where the impact would have come from.
Jonathan Ellis - BAS-ML: Do you have, I know in the past you have given a price figure just for the MSW component. Do you have that available this quarter?
John Casella : MSW the volume was up 3%. Let us pull the price out. Why don’t you go ahead.
Jonathan Ellis - BAS-ML: Another related question and I realize there is a lot of seasonality over the course of the year. Do you have a sense of what the percentage of your landfill volumes are from MSW versus C&D and BUD?
John Casella : On the first question that you asked, could you just clarify what the question was?
Jonathan Ellis - BAS-ML: I was asking if you had the MSW pricing at your landfill this quarter? What that was?
John Casella : I don’t think we normally disclose MSW pricing. Do you mean the percentage?
Jonathan Ellis - BAS-ML: Yes. I had noted down last quarter that MSW pricing was up more than 0.5% at your landfills. I didn’t know if you had it separate. We can talk about it offline.
John Casella : Total pricing was down 3.2%. Disposal pricing on the solid waste segment was down 3.2%.
Jonathan Ellis - BAS-ML: The other question was do you have a sense of the breakout for MSW versus C&D and BUD at your landfills?
John Casella : In volumes, MSW was up 3%. C&D was…
Jonathan Ellis - BAS-ML: I’m sorry, the percentage of total volumes. What you typically take in at your landfills. Not growth. Not changes. I am talking about total volumes. What percentage of total volumes typically come from MSW versus C&D and BUD?
John Casella : We can probably get that for you. We don’t have it right here. We don’t have the totals but we can certainly get that information for you.
Jonathan Ellis - BAS-ML: Any qualitative commentary on the front loader business, the weight per container this quarter?
John Casella : I think we are probably more the same in terms of stability. We are not really seeing any real significant economic activity. I think we have had some successes, as we indicated, with customers from a disposal standpoint in November. I guess we would characterize it as stable and maybe slightly improving in terms of what we have seen in November but we are not seeing any real significant economic activity from the front load containers but it is certainly stable to possibly slightly improving in November. That is talking about front-load containers, right?
Jonathan Ellis - BAS-ML: That’s correct. On the recycling business, I was trying to get a sense…I know you have talked about year-over-year changes in price vis a vie net revenue. On a sequential basis there was obviously some appreciation in pricing. I am trying to get a sense to what extent have the hedges and other mechanisms you have put in place to dampen volatility limited some of the upside? I know obviously it creates protection on the downside but we have seen some appreciation over the last few quarters in pricing. How much would there be upside in terms of net revenue?
John Casella : I don’t think there would be much of an impact. The question is how much of an impact would we have seen sequentially limited by the hedges we have put in place. Most of those hedges I think have rolled off over the last year. Right? So we have really limited the upside opportunity with the risk mitigation program. Certainly we will to a degree that is obviously the purpose of putting the risk mitigation strategy in place in the first place.
James Bohlig : We still have a substantial number of hedges in place. They will continue rolling off for another 12-16 months. Those hedges both in terms of price and volume and the term that they run so if you look at it, it is really a three dimensional program in terms of how it protects you. We are at the current pricing levels we are seeing in the market beginning to believe that in the next quarter we would start to actually place new hedges to start a new hedging program based on our belief of where the market is going to go and the rising of that market. So basically to build the next leg of our hedging strategy. I think in large measure the net revenue per ton and the mitigation strategies are as much as anything today being carried by contract negotiation changes we affected in the last 12 months where we shifted our revenue share into a more sustainable model in combination with the remaining hedges on our balance sheet. I think what we are actually reporting is that our program has many legs to it but a big part of that program is not resting now solely on hedging but rather the restructuring of our relationships with our customers and it allows them to share the downside market risk and also take some of the upside revenue share and we think that is a much more long-term sustainable model.
John Casella : It is likely that will be more of an issue as we go forward with higher commodity prices where we will begin to give some of that back. One other comment too, with regard to the roll off in November, a slight improvement there as well.
Operator: The next question comes from the line of Eric Prouty – Canaccord Adams.
Eric Prouty – Canaccord Adams: On the guidance, when you look at some of the improvements which have occurred in the volumes, some of the improvements in the pricing and also especially with the commodity prices moving up, can you put that in context with the guidance you have maintained? Is this still consistent with your guidance range but maybe we are now moving towards the higher end rather than the lower end? Maybe if you could just put what you are seeing out there recently in the market in context with your guidance?
John Casella : I think that what we have seen really is one month of real positive activity from a revenue standpoint. As we have said before, the month of November is the first month on a year-over-year basis where we have actually seen revenue up. So I think it is really early to declare anything with regard to changing guidance but certainly that improvement would indicate we would move towards the high end of those ranges.
Eric Prouty – Canaccord Adams: From a commodity price standpoint especially with the recycling, again is that kind of tracking as you saw or is that again erring towards the higher end of your guidance?
John Casella : I think it is tracking where we thought it would be. Maybe slightly ahead but I think on balance it is tracking probably slightly ahead of where we thought it would be.
Paul Massaro : On absolute level it is probably where we thought it was on a momentum basis I think the market is building. There are some early indications there is momentum in that pricing market. As I gave you those net revenue per ton by commodities, you can see that the market is functional since the aluminum and PET were going down as opposed to the other ones going up. So our overall commodity pricing remains a blend of those. That market has to go up together in order to have the full impact of what we are speaking of. So we are always mindful of the portfolio mix and the impact that some of them may not yet be recovering at the same pace. Some of the recovered fibers do look stronger. OCC and ONP for their own reasons have related products I think are not likely to drive as far or as fast. Metal is very much tied to the export market and what happens in Asia and China.
Eric Prouty – Canaccord Adams: You might have touched on this a little but do you have from a dollar standpoint any identified additional savings that would impact the G&A line?
Paul Massaro : We don’t. We haven’t really talked about it other than the plans that Paul has laid out with regard to the re-routing, the front-load conversions. We also have got work that is being done with regard to the customer care unit as well as shared services. So I think there is some opportunity there but we don’t have any additional numbers we talked about other than what Paul has laid out historically.
Eric Prouty – Canaccord Adams: You have done a good job in the past being able to take money out. Do you feel like the low hanging fruit from a cost savings standpoint is probably behind you guys and now it is more just maintaining G&A as revenue starts ramping back up?
John Casella : I think we set out a couple of years ago and indicated we wanted to bring our margins much closer to the industry. We are still on that path. We still think we have opportunity there. Certainly the last year and half Paul has done a great job with the entire operating team. Sean has done a great job on the recycling side. I think we believe we still have opportunity there and we will continue to move every stone and look at every opportunity in terms of how we can change this model to become more productive and more efficient.
Operator: The next question comes from the line of [Brian Buffum – WSI].
[Brian Buffum – WSI]: A follow-up on the question about the commodities and the structural changes you have made in the FCR business, the share of the upside. I guess on a year-over-year basis I think you said commodity prices were down 60% but adjusted EBITDA was only down $1.6 million so significantly less. When you think about it going the other direction is it a similar kind of magnitude? If commodity prices are up 16%, is FCR EBITDA going to be up 1.6? I’m just trying to find a framework of how to think about that.
Paul Larkin : The way you should think about it, it is not a symmetrically linear framework. In other words what happens when we go down is by design different than when the markets go up. What you should think about is we don’t give dollar for dollar as the market goes up. So as the market goes up we have an early give back if you will to the commodity and to our customers and then that commodity share reduces as the market goes up. So it is both an aspect of it tied to the where the absolute price of the commodity is and what the revenue share is as that commodity goes up. We actually get more if commodity prices go up we get a bigger percentage than we do initially from what I would describe as the tipping point. So it is not a symmetric relationship but we definitely probably only harvest about 30-40% of the early market rises and then if the market recovers back to its high numbers obviously we get more. Part of that will be also further dampened or leveraged by successes in hedges and derivatives we have placed associated with the volumes we have in our control.
[Brian Buffum – WSI]: So if I hear you right when prices go up you only are getting about 30% of that initially and then that gradually increases? When it goes down how does that work?
Paul Larkin : I think we have tried to be very specific in the numbers I gave you to give you a way to think about how it went down. I wouldn’t like to try and characterize it beyond the numbers that we gave you because I think you could actually look at that and see the relationship.
John Casella : If you go to the website and look at the last presentation we have that mapped out there so you can take a look at that. If you come out of that with additional questions just reach out to Ned and he will walk you through it.
[Brian Buffum – WSI]: On the asset sales, can you give any color on the valuation markets in the areas you are selling? Any thoughts on how that looks?
John Casella : Not really. I think that obviously the market currently because of the economic reality is difficult but I think we have laid out a plan. We think we can achieve that in terms of the first bucket but we really can’t get into the specifics of valuation at this point.
[Brian Buffum – WSI]: From a modeling perspective, how to think about the taxes split for the third quarter and the fourth quarter. Should I just take the remaining high end of your guidance and kind of divide them evenly between the two quarters or is it going to be one more than another?
Paul Massaro : I think we said on the call previously we should be at the high end of that range at about $5 million. I think your approach would be fine.
[Brian Buffum – WSI]: Put half in each quarter?
Paul Massaro : I would.
Operator: The next question comes from the line of Scott Levine - J.P. Morgan.
Scott Levine - J.P. Morgan: Somewhat of a modeling question, obviously you are heading into a seasonally weaker period of the year from an earnings standpoint, if I look at your cash flows obviously you have some moving parts with the refinancing and with some of your labor relation issues. Is there going to be a typical seasonality pattern with the cash flow or will there be any differences for the third and fourth quarters of the year?
John Casella : I think the only impact would be anything from a divestiture standpoint. Other than that it should be fairly consistent seasonally. That is at least what we have seen so far. Again though we are going into much easier comps as we get into the third and fourth quarter.
Scott Levine - J.P. Morgan: On the CFO search is there a timeline or timeframe where you are hoping to get this done or is it just whenever you find the right candidate?
John Casella : I think it is always to find the right candidate first. Obviously we want to try and get that done as quickly as we can. I think that several months it is likely to go into, with the holiday coming up, it is likely to go into the first quarter of next year. Certainly we are looking to try and get that position filled as quickly as we possibly can.
Scott Levine - J.P. Morgan: I apologize if you already discussed this in your prepared remarks, but generally speaking what type of expectations do you have in terms of the impact of consolidation in your market there obviously with one of the mergers recently announced?
John Casella : I think our sense is that it is really positive. I think the combination is a positive one. I think it should bode well I think in that there is more tons available to go into the facilities and I think on balance that should be very positive for the market both from a volume and a pricing standpoint in upstate New York.
Operator: The next question comes from the line of Corey Greendale – First Analysis Corp.
Corey Greendale – First Analysis Corp. : Given the improvement it sounds like you are seeing with GreenFiber do you have any thoughts on what the equity income contribution is from GreenFiber for the full year?
John Casella : We don’t but certainly we can get that information for you. I am not sure. Do we have a number out there now? I don’t know that we have anything disclosed. If we do we will update that. I think clearly Jim articulated where we thought they were going to be for the year in terms of $10 million of free cash flow. So that being said obviously the management team there has done a terrific job in moving that business forward. They have also paid down a substantial portion of debt over the last year as well and have redone their credit facility recently as well. So the business model obviously is in very good shape. The team has done a terrific job there through this downturn.
James Bohlig : I think it is fair to say they are waiting for the housing market to recover and it has not shown any real heartbeat recovery signs yet. Absent that I think they are bunkered down. They are well positioned. They are managing their business. They are looking for other markets. We would expect their next year performance to be in line with this year. I don’t think we would go beyond that.
Corey Greendale – First Analysis Corp. : On the divestitures, the language you are using “baskets of assets” have you an expectation that each of those baskets will be to a single buyer?
John Casella : Not necessarily.
Corey Greendale – First Analysis Corp. : Going back for a second to the free cash flow guidance you mentioned you didn’t think the historical seasonality would hold. At least the past few years the second half of the year has been stronger in free cash flow than the first half of the year and that happens to be when you issue guidance for the year. Can you put that into perspective? What would make it so you don’t have that historical uptick in the second half of the year?
John Casella : I think the real issue is whether or not we are going to see continued activity similar to what we saw in November for the rest of the year. I think that is very difficult to predict at this point in time. I think it is fair at this point as we indicated earlier in the call that it is likely we will be at the high end of the range.
Operator: There are no further questions. At this time I would like to turn the call back over to Mr. John Casella for any closing or additional remarks.
John Casella : Thank you very much. Five years ago we set out to add disposal capacity to the franchise and in fact we were successful in adding 66 million of disposal capacity which really solidifies our great cash flow generation for the next 10-20 years. From a practical standpoint we set out to do it. We executed it. Last year in a toughest economic climate in 70 years we were faced with refinancing our senior secured credit facility. We successfully refinanced the pending maturities providing us now the time to de-lever the balance sheet over time. The facilities were over-subscribed. We were able to really have a great financing in what was the toughest climate as I said in 70 years. Now we have laid out plans to de-lever over the next three years. Our team really knows what we need to accomplish. I am confident we will meet this challenge as we have met the other strategic goals and challenges over the last several years. With that, thanks to everyone for your attention this morning. Our next earnings release and conference call will be in early March when we will report our third quarter fiscal 2010 results. Have a great day everyone. Thanks for being on the call today.
Operator: Ladies and gentlemen that does conclude our conference for today. Again thank you for your participation.